Operator: Welcome to the Nanophase Third Quarter 2022 Financial Conference Call. [Operator Instructions] The words believes, expects, anticipates, plans, forecasts and similar expressions are intended to identify forward-looking statements. Statements contained in this news release that are not historical facts are forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements reflect the company's current beliefs and a number of important factors could cause actual results for future periods to differ materially from those expressed in this news release.  These important factors include, without limitation, a decision of the customer to cancel a purchase order or supply agreement, demand for and acceptance of the company's personal care ingredients, advanced materials and formulated products, changes in development and distribution relationships, the impact of competitive products and technologies, possible disruption in commercial activities occasioned by public health issues, terrorist activity and armed conflict and other risks indicated in the company's filings with the Securities and Exchange Commission. Nanophase undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. At this time, I would like to turn the conference over to Mr. Jess Jankowski. Sir, please begin.
Jess Jankowski: Thank you, Howard. Good morning to all of those of you listening live and welcome to those who choose to listen later online. Thanks for joining us on today's call. Our discussion will cover third quarter and year-to-date 2022 results, the current state of the business and some of our planning for the balance of 2022 and entering 2023. Kevin Cureton, our Chief Operating Officer, is also with me here today. In discussing our results, we're going to separate the gross profit discussion from the bottom line earnings discussion. The third quarter's margins reflected the trend we've seen in terms of our production costs and the efficiencies we've been discussing this year. We've also seen increases in raw materials costs and labor, some of which we recouped with price increases where the markets and contracts allow. I take solids in the fact that we've been able to achieve stronger margins in the past at lower volumes and with less sophisticated production equipment. I'm confident that our gross margins will improve.  Our bottom line was disappointing with a large Q3 loss, bringing us to a loss for the 9 months. While the majority of this was a result of our depressed gross profit margin, some of this was also due to strategic decisions we made and among other things, some was due to litigation costs. Given the incredible market success we've seen with Solesence products and market demand for minerals-based solutions more broadly, we remain optimistic about our future results and the acceleration of our continued growth. After the numbers, I'll expand on this further. Unless identified otherwise, all numbers will be stated in approximate terms. We had $9.7 million in Q3 revenue this year versus $7.9 million for the same period last year. This brought us up to $29 million year-to-date at $930 million versus $22 million at this time last year. Total year-to-date revenue numbers were up 31% in 2022 over 2021. Within that, Solesence revenue was up 39%, and personal care ingredients revenue was up 61%. The -- revenues continue to go in the right direction. Kevin will talk more about this, but we're excited to see our strategy continue to unfold.  As in Q2 and Q3 -- Q1 and Q2, I should say, Q3 had a month during the quarter, in this case, July, that was about 1/3 lower than the average month. And we also saw another month in August that was almost 1/3 above the average for the months within each quarter. While we enjoy big revenue months, particularly as they can point to future run rates, they can also negatively impact margins when the other months in a given quarter are lower than expected. This has led to poor overhead absorption during the lower months as well as labor inefficiencies. Given that we can never get those efficiencies back, we're working hard to stabilize the business within the constraints of what we expect to be continued significant growth. Additionally, we see embedded expenses come through for the expansion of our facilities and our operations team. This expansion was both necessary for us to get our costs down on the volume we currently have as well as to support future growth with a much more workable footprint.  In the short term, these increases added to some of the inefficiencies we've been tackling leading to gross profit margins of 25% to 26% this year. For the 9-month period year-over-year, this reflects a 9% decrease in gross profit margin. About 1/3 of this decrease related to occupancy costs for our new facility, which we expect to better absorb as we continue to grow. And without which, I have to add, we wouldn't be able to pull cost out of the current Solesence business. Kevin will be addressing this in greater detail in a few minutes as well. Of the remaining 6% shortfall using 2021 margins as a benchmark meant that we had approximately 2.5 million fewer margin dollars to cover R&D and SG&A expenses and to generate cash. Over the 9-month period in 2022, we had a series of investments in our R&D and SG&A capability that while helping to facilitate some of our growth immediately represented more of an investment toward future growth.  We saw R&D expenses, which includes engineering, increased by about $600,000 year-over-year, 2/3 of this related to staffing. This included the expansion of our engineering team to help with equipment installation and optimization and in addition to our formulation group. I characterize these as changes to both reduced manufacturing costs and to increase throughput. The balance in R&D reflected increases in legal fees for patent and intellectual property development. This is strictly an investment in securing and expanding our franchise within our Solesence products. Our SG&A expenses were up considerably to, an increase of roughly $2.5 million year-over-year. Almost $1 million or 40% of this related to additional staffing, primarily within the sales, marketing and business development teams. We added 2 new senior leaders in the first quarter, additional marketing resources and more customer support people.  Related recruiting costs amounted to about 15% of this total, which we don't expect to reoccur. The bulk of these additions relate to future business development and demand acceleration with the balance helping us to catch up with our much higher sales value. Not just in sales and marketing, but company-wide, our business has been impacted by the growth in our Solesence business in a way that is difficult to understand from the outside. I'd like to put a finer point on what we mean when we talk about catching up with growth. On an annual basis, Solesence sales have grown from less than $2 million in 2018 and 2019 to $7 million in 2020 during the pandemic than to $18 million in 2021. At our current level, we will have tripled the size of a 30-year-old company in the past 3 years. Given the different business model for Solesence, which requires many more shipments in smaller quantities of material, -- while the size of our entire organization tripled in terms of dollar volume, our transaction volume has been a multiple of that again. This tremendous increase in volume and its related activity put a huge strain in our organization, but it was worth it. Another 1/3 of the $2.5 million increase was due to a series of growth-related items. The enhancement of our marketing suite as well as the increase in the number of users throughout the company, plus a big push toward automation resulted in higher software spending. Also, we finally felt it safe enough to start exhibiting at trade shows again. And we saw insurance cost increase significantly as a function of both our rapid growth and volume and assets as well as the general insurance markets. Lastly, we incurred approximately $250,000 in bad debt expense, which is an unfortunate consequence of rapid sales growth with limited resources to apply to collections and regular frequent customer contact earlier in the cycle. We may be able to collect a portion of this in the future, but we're reserving for it now. With more experience and deeper staffing, we don't expect this to continue at this magnitude going forward. Several other items. One that I would characterize as being outside the normal course of business, this is the $530,000 we mentioned in our earnings release, made up most of the balance of the change in SG&A expenses. We accrued some contingency fees for what we hope will be a successful recovery of our staffing commitment during the pandemic under the employee retention credit. We hope to have this finalized early in 2023. Also, we saw increases in legal fees relating to our pending litigation with BASF, which I'll address in a few minutes. Lastly, to follow up on our note in the release, we're in the process of investigating instances of cybertheft that appear to have begun in September 22 and persisted into October. There were 6 instances of cybertheft totaling $660,000. We've been engaged actively with federal and local law enforcement within the banking system and with our insurance company. We're pursuing the recovery of these funds aggressively. If unrecoverable, our insurance may reimburse 25% of the losses.  We elected to recognize a loss of $188,000 in Q3, reflecting the portion that occurred in September. We believe we've put controls in place to stop this from happening again and are undergoing an independent assessment of our related systems to ensure that we'll be operating in a best practices environment going forward. It's been a rough quarter in these respects, but we can see our way through them. Our bottom line was impacted by a series of items that we don't expect to be repeated. This is highlighted even further when comparing year-over-year numbers given that 2021 income included almost $1 million related to the forgiveness of our PPP loan. Regarding the strategic spending we made in 2022. In the end, we had a series of planned increases that we were unable to offset due to our gross profit margins falling below our expectations. Unfortunately, as a concern staffing and some other strategic spending, the expenditures are planned and incurred well in advance of current results becoming clear. I'm sure that many of you are curious about the litigation we've been involved with and with BASF for a long-term personal care ingredients customer. Given that this litigation is pending, I will tell you what I can and can't expand much on this during Q&A. BSF filed a complaint in New Jersey in August, claiming that we were in violation of our supply agreement. They led several issues, the one having the biggest potential impact on Nanophase being a claim that our sales through Solesence violate the exclusivity provision of the agreement. Also in the same complaint, and I know that this may make a number of you more comfortable, BASF expressly states that it is not seeking termination of the agreement. In September, Nanophase filed a complaint in Illinois Court asking the court to declare contrary to BASF's claims that, among other things, the exclusivity provision of our contract does not prohibit Nanophase sales of Solesence products containing zinc oxide as an ingredient.  Although we believe BASF claims are wrong, we intend to keep negotiating with BASF in good faith to resolve these issues. If this can't be accomplished in litigation proceeds, the ultimate resolution would be difficult to determine with certainty at this point in time. All this being said, management believes that nailphase will ultimately prevail under the terms of the agreement and under governing law. Let's switch over to similar upbeats. As I mentioned before, and this hasn't changed, your management team is optimistic. We'll share some of that good news with you during the rest of this call. We also intend to prove it with our results. From September 30 out through the end of 2022, we have more than $9 million in shift orders in POs in hand. Additionally, in November of 2022, we have almost $16 million in 2023 purchase orders in hand. For the most part, this demand, this future demand, this growth that has pushed us to become a $40 million company is all based on brand partners and customers that we were working with before 2021. We've nurtured them. We've given them new products to sell and the customers in their markets have demanded more of our products. Speaking of good news, now I'd like to introduce Kevin Cureton, our Chief Operating Officer, to discuss where we are and where we're going in greater detail. Kevin?
Kevin Cureton: Thanks, Jess. As always, I'll begin by thanking our talented team for their continued efforts and our work to not only transform our company, but to simultaneously transform the market. The transition of our business as Jess has detailed, from being a personality-driven entrepreneurial company to a process-driven growth company has been challenging, even sometimes painful. Despite this challenge and realizing that we still have several steps to take to achieve our goals, we do remain positive about our future. Please be reassured, however, that our positivity about the business in no way should be construed that we somehow do not take seriously the need to improve our profitability. We are absolutely focused on doing just that. To that point, I will speak a bit more about the steps we are taking to continue to grow aggressively while improving our profitability.  What I plan to do today is to, in part, set up a framework we will use to consistently communicate some of the important aspects of our business that will enable our continued transformation. The areas that I will focus on are revenue, pricing, direct labor costs and inventory management. Each of these areas offer excellent potential for near-term improvement and can ultimately reach the world-class status of our products. Please note that the primary focus of my comments will be our Solesence business. Let's start at the top by talking about our revenue and pricing. Our growth story is clear and consistent. Our lead generation, which has helped to expand our customer base to well over 70 companies continues to be strong. As importantly, so expect to have a similar number of new launches in 2023 as we had in 2022, further evidence of a robust pipeline and that we are still being selected as the primary choice for premium skin care brands seeking to launch new products. Looking at some industry-specific data, Nielsen recently reported in the publication Beauty Inc., the year-over-year growth in our segments, premium skin care, color cosmetics and Sun Care together averaged over 30%. If you factor in our growth, we are clearly getting our fair share of the growth in a little bit more. In fact, our results in this quarter could have been 5% higher in our Solesence business had we received packaging components from our customers as had been scheduled. We expect this supply challenge will continue in Q4 and beyond. With this continued supply disruption in mind, we are also continuing our efforts to transition more of our clients to turnkey where we supply the packaging in addition to the product development and manufacturing services. By taking more control of the component supply, we will both improve top line and margin growth and help mitigate some of these surprises.  Transitioning now to pricing. Our average price per unit improved by approximately 12% in the quarter over the first half of 2022 due to a combination of product mix and the implementation of price increases with over 90% of our clients. Unfortunately, we still suffered a net decrease of 1% in Materials margin as we continue to play catch-up with the materials cost increases earlier in this year. Our next price increase is due to some contractual limitations are being implemented in Q1. We will now turn our attention to another critical element in the COGS our labor costs. Gross profit margins have obviously been negatively impacted by direct labor inefficiencies and planned labor increases related to indirect labor, which increased our overhead costs. Looking more at our labor inefficiencies. In our earnings announcement, I mentioned that we had 7 figures of cost reductions that are achievable. We will see these improvements in 2 phases: first, improvements in staffing, labor planning and secondly, automation.  So starting with the labor planning, note that 70% of our direct labor expenses is related to filling an assembly in our Solesence business and that with the exception of our key supervisory personnel, a great share of that labor we use in that area is contract labor. As a result, we can more readily flex our staffing levels up and down based upon demand and when we appropriately plan requirements consistent with the production we are expected to achieve. We believe these simple and effective methods will reduce labor costs by approximately 25%. While we started to implement these procedures in Q3, we did not readily see the full impact into until October in part due to some labor increases, cost increases in our batch-making processes. We have further addressed this issue and have seen the improvements in labor costs we expected in October. The second phase of the labor cost reduction is automation. Here, we will achieve the full benefit of automation -- We won't achieve the full benefit of automation until we move our filling and assembly processes into our new facility.  Historically, we have been space Limited, which restricted our ability to implement automation for the production of the Solesence products. Our space issues are completely resolved with our move and the start-up of the new lines we have already purchased. But we only have one of the fully automated lines or expect to only have one of the fully automated lines running in January. By middle to end of Q2, we expect to have 3 fully automated lines, making over 90% of our demand. Through automation, we expect to conservatively reduce our labor cost another 25%, which would mean that by the end of Q2 2023, we would have cut our per unit labor expenses by 50% from current 2022 levels. Of course, realization of the cash savings from this work only occurs by reducing the total labor or redistribution of the total staffing over more units of production, which we are currently doing, while we are also significantly reducing overtime that was previously needed to reduce these units.  Moving on to the balance sheet. As we noted in the earnings announcement, we've made some significant changes to our staff in the supply chain management and manufacturing roles. While more remains to be done, we are excited about the positive impact our new leadership has had. We, of course, need to sustain these improvements, which mostly have been in improving inventory controls and creating a stable, organized execution of the shipping and receiving processes. We have done this, by the way, while consolidating all of our warehousing activities into our new facility during Q3. During this quarter and the several quarters to come, and when I say this quarter, I'm in Q4, we are planning to turn our attention toward rightsizing our inventory once again. The work here is just instituting the basic blocking and tackling, such as improving the management of procurement processes like resetting reorder points and clarification of lead times. But when these actions are combined with more rigorous manufacturing planning, we are also better able to manage materials requirements.  As a result, we should have a meaningful reduction in raw materials inventory and within the next few quarters, get inventory turns up to 4, which will be a significant improvement for our company. I'm sure all of this will generate a lot of questions, so I'll stop now to make sure we have plenty of time for Q&A. But I'll complete my statements simply by saying your company has grown to be one of the most impactful businesses in the UV protection segment as witnessed by the 2 awards that we received just last quarter. We think these actions outlined above are planning to move us from just being an impactful company to having sustainable market success, which ultimately improves people's lives and shareholders' returns. Back to you, Jess.
Jess Jankowski: Thanks, Kevin. I know everybody wants to get to the Q&A, but I want to reiterate a few things. Aside from our revenue growth, nobody is happy about 2022 results to this point. While we're working a process to tighten things up, and I marks a few quarters behind, we have supported the build-out of an infrastructure that we eventually expect to support a multiple of our volume. There's more work to do on that piece of our development, but the people we've added and the facilities we've secured, both of which have increased fixed spending this year are in place. Essentially, we forced a strategic shift over the past few years on a bottoms-up basis. A few of us muscled our way through building a new $20 million business through great idea, strategy and toll that's on its way to take off. The only way this happens is with an expanded infrastructure with the people side being the key. This comes in a few parts.  First, we have to fuel the fires of growth. This company won't triple its volume again without expanding marketing and sales efforts. This year has been the first time since 2019 that we made any new investment in our business development process. We expect that these investments, which are certainly stressing our bottom line today will pay off in a big way with growth late next year in 2024 and well beyond that. Second, we have to get our manufacturing operations in order. This investment has been done in 2022, albeit recently. We will continue to work here to create a production backbone that can support a multiple of current sales. It's been a bumpier ride than we expected, but we believe our progress will become obvious in terms of increased margins and inefficiencies and supporting increased volumes. Lastly, we're working to shore up our IT, finance and accounting infrastructure, all the things that we need to do as our growth adds to our profile and of course, the challenges relating to that. Additional functionality and the ability to rely more on our IT infrastructure rather than hands on processing are critical areas of focus. While we do this, we need to work to secure additional financing capacity and to position ourselves for an uplisting to allow us to gain greater exposure to the investment community. This is going to help us to become more profitable and to grow faster. What we've really been talking about today is 2 things: how to make all of this growing business we've built more profitable, which is a today issue, and how to accelerate our growth even more through our investment in new business development and infrastructure. Now we'd both be happy to answer some questions, although we know that most of our investors listen to the webcast to review the transcript after the live call. We'd like to invite those participating in today's call to ask any questions you might have or to share your comments. Howard, would you please begin the Q&A session?
Operator: [Operator Instructions]. Our first question or comment comes from the line of James Lieberman from Revere Securities.
James Lieberman: This is Jim Lieberman. And I'm actually really impressed by how you're managing such an extraordinary transformation of the company. And in an environment where most companies are dealing with difficulties in terms of demand for their product and acceptance of their product, you're seeing the reverse. You're seeing an extraordinary increase at a time when there are so many other dislocations plus the integrating in a new facility. These are massively challenging for any company, and I think you're doing a remarkable job, and I was actually surprised that you were able to do it with as little as minimal interruption as you've been describing. I wondered if you could describe a couple of other things, however. Regarding -- this is just my question about the BASF, which I know you can't comment on, but the old agreement with the BASF was about totally different technology. It didn't involve this new generation of technology. So are you allowed to comment on that at all, that it should be just seen -- it's not even less apples and oranges. It's not the same comparison, not the same issue. Are you able to comment on that at all?
Jess Jankowski: Well... We don't want to get into too much detail because of the situation. I would say the crux of a lot of this is that we -- that contract as far as we are concerned, involves the sale of ingredients, active pharmaceutical ingredients or APIs, and their perspective on it has been -- it doesn't matter where they go. We think we as BSF, should control that. And that's never been our understanding of it, and that's not how we're treating it now.
James Lieberman: Okay. But another thing, as you see the new facility sort of shaping out and all the investments you're making into improving the efficiencies, what kind of profit margins could you foresee down the road when everything is coming, say, in the next year or 2?
Kevin Cureton: Thanks, Jim. I really appreciate your comments. This is Kevin. We'll be a little shy on making too many declarations on profit margins, but we do expect that our gross profit margins that we've had in the past can be achieved on a much larger business. So north of the 30%, 35% gross profit margins that we've had in the past is part of our objective.
James Lieberman: And another thing is how do you see your turns and inventory shaping out? Do you -- can you see 2 turns a year? I'm just trying to get a sense of with your inventory build, how you see that being able to finance your growth going forward?
Kevin Cureton: Great question. And again, I do think there we can be a little bit more transparent, and we do expect that we'll get north of 3 turns per year. It will take us a little while because we did build raw material inventories based upon some concerns around supply and availability. We're going to be able to transition a bit more away from raw materials, large raw materials inventories toward WIP and then ultimately, even reducing that over the next couple of quarters. So getting to a 3 to really, as I mentioned in the discussion or in my comments, 4 turns per year is our objective to achieve that sometime in 2023.
James Lieberman: I want to just leave with one other note in that I'm so impressed with the words you're getting on a world basis with the response to your products. And this could be an incredibly significant company even from this point with this growth so far. I could imagine you're being over a $100 million company in a few years. Congratulations to be able to set yourself up in such an attractive way.
Operator: [Operator Instructions] Our next question or comment comes from the line of [indiscernible].
Unidentified Analyst: So I'd like to share the enthusiasm of the previous caller, but I have to be upfront. I'm getting pretty frustrated with the lack of progress you guys just seem to have one problem to the next each quarter, and there needs to be more accountability and you guys really need to come up with a better plan to get the company back to profitability. As far as the stock goes, again, I'm going to reiterate what I said last conference call, you guys really need to make this a focus. I'd also really like to see insider step-up with some buying in the open market, along with the Board members. -- the stocks come in about 50% and the only real way for investors to get the confidence in the company getting to the next level is to see you guys not be having sales like we saw last week, but to actually see you guys step up and buy stock. So with that out of the way, my first question is when do you foresee an uplifting occurring for the stock?
Jess Jankowski: I'm not sure not to mislead anybody. I think the -- it's quite possible we could do something next year relative to an uplifting of and we haven't decided yet whether it's -- it would be something on maxarka or another exchange or NASDAQ, and there are some a lot of rules to be complied with that we haven't yet tested. We also have just given what's been going on Lalit's just an added degree of pressure and business on everybody internally. My goal has been to be further along in the path this year on this. But I don't have a solid answer for you. It's a big deal. It's important to us internally. It's important we know to you and all of our investors as well as our Board of Directors that we do that. It's just a question of doing that in the right order relative to getting the other things that we need to get one done in the meantime.
Unidentified Analyst: Okay. I can appreciate that. So second question, to lessen 2023 prospects. Your growth rate has slowed down. And I understand you had some additional issues in terms of packaging. Can you speak to the demand -- the expectations that you have for 2023 growth rate for Solesence?
Kevin Cureton: Sure, John. We do expect that we'll still see a similar year-over-year growth rate to this year, obviously, against a bigger base of business. So -- but the thing that I mentioned in the comments was essentially that we are seeing similar numbers of launches. What I didn't say is that those launches are bigger. So you'll see a little bit different mix in our business as we go larger customers, larger launches and ultimately, a bit more globalization as we get through much of this year into the second half of next year.
Operator: [Operator Instructions] I'm showing no additional questions in the queue at this time. I'd like to turn the conference back over to Mr. -- I'm sorry, we have a follow-up question from Mr. Lieberman.
James Lieberman: Some of the questions, of course, has been regarding an uplifting. And I do agree that it's more of a process and it's got to be done in the right framework where the right person and a group of people are in, so you can do the right reporting, but also that addition to the company would be -- would add to the company's culture and not detract from it in any way. That being said, is it possible that some company out there might want to buy you out? Can you comment on any interest because of how well you positioned yourself in the sunscreen space right now?
Jess Jankowski: We can't really comment on any interest there. I'm sure it's possible. I do think that at a -- trying to remove the intensity from that question, I would say that none of us feel that the value that we have right now that we've achieved in the market in terms of market capitalization reflects the actual value of the company. So if that ever were to happen in my mind, and obviously, I can't speak for the Board of Directors and everybody would I think that the I think there's a lot more valuation to be had here before something like that were to happen, Jim.
Operator: Our next question call is a follow-up from [indiscernible].
Unidentified Analyst: A follow-up question is you guys every quarter now are having a problem where you're having a killer month followed or preceded by a month, that's a lot less than that record month. You guys seem to kind of have a business that has its ebbs and flows each quarter. And so can you again talk about with fully knowing that just the type of business that you have, number one, how does that get smoothed out operationally -- and what's your plan to kind of deal with that in the future so that you can actually get back to profitability? I mean, I know you mentioned all these other changes. Is it just that? I mean it would seem as though none of this should come as a surprise that you have these types of ebbs and flows within the quarter, but every quarter comes, and it seems like you guys are surprised.
Kevin Cureton: Yes. So John, a couple -- there are a few questions there. I'll start at the top. And I think I mentioned briefly, Jess also mentioned towards the end of his comments. It does start with the -- having the right team in place, and that's really been one of the focuses that we've had in Q3 in terms of making some changes in our supply chain team and our manufacturing team. We still have some work to do there, relative to making sure that not just at the leadership levels. But as we've grown rapidly, to some degree, we've surpassed some of the -- we've got wonderful people. Let me just say that before I say my next comment, but we have surpassed some of the skill sets of younger folks, and we need to add to that middle management tier in order to be a little bit more effective in all of these areas. That notwithstanding, there have been a couple of things that have been really good about some of the other commercial leaders that we did already add to the company. and changes that we've made in terms of our order processing procedures and lead time procedures. So we did change our lead time standards to give us more visibility relative to what is coming down the path, so that it's less of a surprise. We also are making some changes or have made changes in terms of confirmation order confirmation relative to, in our business model, we received some packaging from our clients. And obviously, for the types of products that we make, if you don't have the package, you don't have the product, you can't make the final product at least. And so we've established that as part of our lead time standards as well.  I mentioned during my comments the idea of moving further and further toward turnkey because and what turnkey essentially is, John, is we take on that accountability for sourcing the packaging. We do that for our believer or not, our largest clients, the multinationals we work with always want us to work that way. Some of the smaller ones don't. And that is part of the process of improving our controls on what is actually happening on a month-to-month, quarter-to-quarter basis relative to production. And I'll finish up by just saying, as Jess mentioned, the book of business that we already have for 2023, we already have very good visibility on the requirements, the demand for Q1. In another month or 2, we'll have even more clarity on the demand for Q2. And that's, again, part of the lead -- or excuse me, the lead time changes that we've made that will allow us to do a better job in smoothing out results and getting more consistent performance on a month-to-month basis.
Unidentified Analyst: And 1 or 2 other final ones, then I'll see the floor. So in terms of CapEx, heavy equipment to really get automation completed in the new facility. What are you looking at in terms of dollar-wise needs for CapEx in 2023?
Kevin Cureton: We're reevaluating that, John, because of -- for one reason and one reason only, and that is that we want to be really focused operationally on getting the fill and assembly operations running and get our benefit from that. So that reduction in labor cost is a big focus of ours. And so we're not moving as fast as we had originally planned on some of the other capital because we want to get that right. We want to get what we've already invested in, right. And so I'm going to unfortunately avoid giving you a straight answer on that. But just to say, that yes, we'll still have another 7 figures in capital investment that we need to make, but we won't be leading that. We'll be doing a little trailing of that investment in order to make sure that we get some improvements in the investments that we've already made.
Unidentified Analyst: And then on the inventory front, final question. What are the plans to kind of -- early in the year, you had obsolescent inventory issues, you need to write off some things. I mean it does seem as though, again, that's a recurring main point as well. So can you guys get to the point where you can be a well-oiled machine on the inventory side because it really does seem to just be -- I'm not sure if it's just -- you don't have the right people with the company to kind of really get this right. But for a manufacturing company, it's -- I mean, pardon my frank this unacceptable to kind of be having the issues you guys are consistently having.
Kevin Cureton: Yes. No, we agree with it. It's an unacceptable why we mentioned it as part of what we're focused on. Again, just going back to beginning of the last comment that I made, it does start with having the right team with the right skill set, and we do believe we've made at least within the supply chain team, we've made some changes there that does get us on the right track -- and then, again, tying that into proper manufacturing planning so that the requirements are crystal clear in terms of what we need to have on hand and making sure that we're making the right things at the right time to the orders. So yes, we do believe we can get that to being a well-oiled machine. It has to be. And it's, again, one of the advantages of the consolidation of warehousing into one facility, consolidation of the filling and assembly operations into one facility is to be able to address those types of issues that you just mentioned.
Unidentified Analyst: And then as far as Q4 goes, are you guys expecting, I guess, $9 million-ish. Is that the expectation revenue-wise for the quarter? It seems like it's going to be down a little bit sequentially.
Kevin Cureton: Yes, open orders and ship orders will be in that range. Again, what we are suffering from -- and I want to make it clear that the $9 million isn't referencing where that number somewhere in that range, isn't referencing to the actual demand. It's the -- what we can actually ship based upon getting components from our clients. So the demand is higher than that, but we're likely to be in that range.
Unidentified Analyst: And -- but do you -- like when do you foresee that issue, I mean that's going to turn off or clients in wanting to do more business. Is that something that's fully resolved by Q1? I mean what's -- sorry, there's a lot of moving parts here...
Jess Jankowski: That issue, John, is not related to us as much as it's related to the clients that are sourcing their own component. So it's the -- in terms of turning off a client, if they turn the client off of the component supplier or that may push them in the direction to allow us to go ahead and operate the turnkey business. But that's something that we don't see it with our largest customer there because we manage it all. And so we know what our expectations are, et cetera. So that... To get better.
Unidentified Analyst: On that particular pain point, like when can we expect -- I mean, because you're talking about potential plans to kind of do turnkey, -- do you have visibility on when that pain point is going to buy the guys that you're using be resolved or you just -- you can't really tell at this point that, that will be something that is a challenge that you guys can get past like Q1 or Q2?
Kevin Cureton: The majority of our business still will not be turnkey in 2023. So there are still a lot of clients that -- and again, when I say majority, I should be saying numbers versus dollars. But that because they're smaller customers, they want to try and save a few bucks by sourcing the components themselves. We're not the only one in this industry that has that as a risk. What we didn't do and what we are doing now is make adjustments to our schedule based upon understanding the status of the components. So that is something that we now have done. We're making those adjustments proactively. And in terms of just some of the other comments I made around labor utilization and labor planning, we are able to scale up and scale down on the relative labor in order to mitigate some of the costs that might be associated with a miss from our -- one of our clients in terms of getting us the packaging on time. So we have to make -- we have to build in the processes and procedures to address something that is very common in the industry, and we have done that. So we would expect that as we enter 2023, we'd see far less of these disruptions just based, in terms of consistency and performance, just based upon not getting packaging components from our customer.
Operator: [Operator Instructions] I'm showing no additional questions in the queue at this time. I'd like to turn the conference back over to Mr. Jankowski for any closing remarks.
Jess Jankowski: Thank you, Howard. I have some closing remarks. Also a comment something that may have got lost in our press release because of all the information we had to pack in this one in the very last few lines. We're hearing a lot of talk if all of you are investors, Kevin and I are investors much more passively than you imagine. And everybody is talking about what happens next year with the economy with are we going into a recession? Is it this, is it that? And I think one of the things that keeps us jazzed about this business is that we grew -- we actually exploded in growth during the pandemic -- and with the growth we're seeing in the various areas in the beauty industry that we play in, they have shown themselves to be pretty resilient relative to that kind of thing.  So in terms of going into next year, pretty exciting, and I thought something I want to mention. I just followed saying our top focus right now is improving our margins to fund more growth to keep stoking demand for additional growth opportunities. We're also working to communicate what information we can when we can to all of you, our shareholders and stakeholders. It's part of a journey. We want to make sure that all of you are as excited and optimistic about our future as we are. Again, what we've been talking to today boils down to 2 things; how to make all of this growing business we build more profitable and how to accelerate our growth even more through investment in new business development. As you've heard us say, we're on a path forward that we expect to help us enhance our value in all respects, and we're optimistic about the rest of this year, 2023 and beyond that. I'll leave it there, and we'll look forward to our opportunity to discuss the business with you again next quarter. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.